Operator: Good morning, and welcome to the Allegion Third Quarter 2021 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Tom Martineau, Vice President of Investor Relations and Treasurer. Please go ahead.
Tom Martineau: Thank you, Andrew. Good morning everyone. Thank you for joining us for Allegion's third quarter 2021 earnings call. With me today are Dave Petratis, Chairman, President and Chief Executive Officer; and Patrick Shannon, Senior Vice President and Chief Financial Officer of Allegion. Our earnings release, which was issued earlier this morning and the presentation, which we will refer to in today's call, are available on our website at investor.allegion.com. This call will be recorded and archived on our website. Please go to Slides 2 and 3. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of federal securities law. Please see our most recent SEC filings for a description of some of the factors that may cause actual results to differ materially from our projections. The company assumes no obligation to update these forward-looking statements. Today's presentation and commentary includes non-GAAP financial measures. Please refer to the reconciliation in the financial tables of our press release for further details. Dave and Patrick will now discuss our third quarter 2021 results, which will be followed by a Q&A session. Please, for the Q&A, we would like to ask each caller to limit themselves to one question and one short follow-up. We would like to give everyone an opportunity given the time allotted. Please go to Slide 4, and I'll turn the call over to Dave.
Dave Petratis: Thanks, Tom. Good morning and thank you for joining us today. Before we go into our third quarter results, I'd like to take a minute to acknowledge and congratulate my fellow Allegion team members for their ongoing dedication to the environment, society and governance. I'm humbled and honored to share that just last week Allegion was recognized for ESG leadership through two different awards: the Robert W. Campbell Award and the Jackson Lewis Diversity, Equity & Inclusion Champion Award. The Campbell Award is an annual recognition by The National Safety Council, America's leading non-profits safety advocate. It is the premier award for excellence in integrating environmental, health and safety management into business operating systems. Winners have strong processes and show measurable achievement over a five-year period in the EH&S performance that leads to productivity and profitability and are expected to demonstrate a long-term track record of not just the EH&S compliance, but also critical improvements. The prestigious award is also known for its rigorous application process with a systematic review and audit attached to it. Submissions are reviewed by management, labor, academic and government experts from around the world followed by a meticulous audit format at three or more of a company's global sites. With this in mind, Campbell Award winners are an elite group of organizations. Past winners include Boeing, Cummins, Dow Chemical, DuPont, Honeywell Aerospace and Johnson & Johnson. Allegion is proud to have our name added to this best-in-class list. We are also excited to have been named the Jackson Lewis Diversity, Equity & Inclusion Champion by the Indiana Chamber of Commerce. This is a statewide honor that recognizes an organization making significant strides in the workplace. The judge noted that Allegion was chosen as its first ever winner of this award because of our company's proactive and intentional diversity, equity and inclusion efforts around the globe. We have strong momentum on our diversity efforts and we know there's more work to be done. We're not asking the people of Allegion to agree on everything, but we need to be a place where racism and bias are rejected, where inclusion is a way of life and we're all employees feel they belongand can contribute to our business success. Importantly, I've shared before that Allegion's ESG commitments are vital to how our company achieves results and the way we do business. ESG excellence will give us better long-term outcomes across the board, better employee safety, better employee engagement, better productivity, better creativity, better innovation and stronger financial performance. We see this firsthand and external data points to it as well. Please go to Slide 5. During the quarter, we experienced continued strength in demand, particularly in the America's non-residential market. This trend began in Q2 and accelerated through Q3. Leading indicators like ABI and Dodge new construction indices remain positive. Increased demand is for both discretionary projects and new construction and is across all verticals and product categories. The recovery has been faster than we originally anticipated and is expected to continue in the foreseeable future. Residential end market demand is also favorable across both retail point of sale and new home construction. The strength in demand continues to constrain the global supply chain's ability to fully meet demand requirements. Similar to last quarter, this was especially prevalent in electronic components in Q3. As I'm sure you're aware this is a global issue and not isolated to Allegion or to any single industry. We have redirected resources and are taking actions such as reconfiguring and redesigning products, as well as developing alternative sources of supply to help alleviate the pressures we are experiencing in procuring electronic components. Additionally, material and freight input costs continue to accelerate during Q3. We now anticipate material and freight inflation to be approximately $60 million higher compared to last year. In addition to the supply chain pressures we're seeing for electronics, there are also widespread industry shortages of labor and other components. Once again, these issues are not Allegion specific and we expect the global constraints driving these shortages to continue beyond 2021. These challenges led to margin deterioration in the quarter. We will leverage the strength of our supply chain management capabilities as well as priced to help mitigate these impacts going forward. During the quarter, the continued robust demand coupled with the supply chain pressures resulted in record backlogs, approximately four times normal levels. We estimate that widespread shortages have delayed approximately $80 million to $100 million of 2021 revenue. We believe this impact is evenly distributed across the third and fourth quarter. We do not believe this is lost revenue, but expect it will be recovered as supply chain constraints ease. Now let's turn to the third quarter performance, for more details please go to Slide 6. Revenue for the third quarter was $717 million, a decrease of 1.6% on both a reported and organic basis. The organic revenue decrease was driven by lower volume in the Americas region related to the aforementioned electronics, components and labor shortages. Currency tailwind and acquisitions offset the impact of divestitures. Patrick will share more details on the regions in a moment. Adjusted operating margins decreased by 330 basis points in the third quarter. Higher input costs, productivity challenges and volume deleverage drove the majority of the decrease. Incremental investments important to our future growth caused 90 basis points of the decline. Adjusted earnings per share of $1.56 decreased $0.11 or 6.6% versus the prior year. The decrease was driven by reduced operating income offset by a favorable tax rate and share count. Year-to-date available cash flow came in at $327.7 million, an increase of $71.6 million, or 28% versus the prior year. The increased cash flow was driven by higher year-to-date net earnings along with improvement in net working capital and reduced capital expenditures. Patrick will now take you through the financial results and I'll be back later to discuss our 2021 outlook and wrap up.
Patrick Shannon: Thanks, Dave, and good morning everyone. Thank you for joining today's call. Please go to Slide number 7. This slide reflects our earnings per share reconciliation for the third quarter. For the third quarter 2020 reported earnings per share was $1.58. Adjusting $0.09 for charges related to restructuring and impairment, the 2020 adjusted earnings per share was $1.67. Favorable tax drove a $0.13 increase in earnings per share. The negative tax rate for the third quarter reflects favorable settlements of uncertain tax positions, a benefit of mix of income as well as the non-recurring unfavorable tax impact in 2020 related to certain valuation allowances. Reduced share count drove another favorable $0.04 per share. Acquisitions and divestitures had a positive $0.02 per share impact. Operational results decreased earnings per share by $0.21 driven by higher material and freight costs. Productivity challenges and volume deleverage which more than offset the favorable impacts of price and currency. Investment spend increased during the quarter and reduced earnings per share by $0.06. As a reminder, the incremental investment spend is predominantly related to R&D, technology and market investments to accelerate future growth. The combination of interest and other income drove another $0.03 per share reduction. This results in adjusted third quarter 2021 earnings per share with $1.56, a decrease of $0.11 or 6.6% compared to the prior year. Lastly, we have a $0.03 per share increase driven by a gain on the sale of an equity method investment offset slightly by the combination of restructuring charges and acquisition and integration expenses. After giving effect to these items, you arrive at the third quarter 2021 reported earnings per share of $1.59. Please go to Slide Number 8. This slide depicts the components of our revenue performance for the third quarter. I'll focus on the total Allegion results and cover the regions on their respective slides. As indicated, we experienced an organic revenue decline of 1.6% in the third quarter. The electronics, components and labor shortages primarily in the Americas region had an impact on our ability to meet the continued strong demand. Still we realized good price performance, which offset some of the volume decline. Currency continued to be a tailwind to total growth and offset the combined impact of acquisitions and divestitures. In total, reported revenue reduced by 1.6%. Please go to Slide Number 9. Third quarter revenues for the Allegion Americas segment were $524.4 million, down 2.7% on a reported basis and 3% organically. As previously stated, the supply chain pressures we are experiencing drove the revenue decline. We are still seeing strong market demand, which has resulted in record backlogs, particularly in the non-residential part of the business. The region continued to deliver good price realization. Our latest price increase went into effect at the beginning of October. So we expect the price realization to accelerate in the future. On volume, Americas nonresidential was down low single digits driven by the electronics, components and labor shortages. Americas residential was down high single digits. This was uniquely driven by the prior year being inflated by channel refill coming out of the pandemic shutdowns experienced in Q2 of 2020. The shortage of electronic components also had a negative impact on residential performance primarily in the DIY space, a big box retail and e-commerce. Electronics revenue was down high single digits driven by shortages of electronic components of both the nonresidential and residential businesses. Electronics and touchless solutions remain a long-term growth driver and as an integral to our investment in innovation efforts. Americas adjusted operating income of $133.7 million, decrease 19.7% versus the prior year period and adjusted operating margin for the quarter was down 540 basis points. The decrease was driven by higher material and freight costs, productivity challenges related to inconsistent supply and volume deleverage. Incremental investments had a 100 basis points dilutive impact on adjusted margins. Please go to Slide Number 10. The Allegion International segment delivered another solid quarter. Third quarter revenues were $192.6 million, up 1.7% and up 2.5% on an organic basis. We continue to see strength in our SimonsVoss, Interflex and Global Portable Security businesses, which along with good price realization drove the organic revenue growth. Favorable currency and acquisition impacts also contributed to total revenue growth and were slightly offset by divestitures. International adjusted operating income of $21.3 million, increased 4.9% versus the prior year period. Adjusted operating margin for the quarter increased by 40 basis points. The margin increase was driven primarily by volume leverage along with favorable impacts from divestitures and currency. The combination of price productivity inflation were an 80 basis point headwind to margins. Incremental investments reduced margins by 40 basis points. Please go to Slide Number 11. Year-to-date available cash flow for the third quarter 2021 came in at $327.7 million, which is an increase of $71.6 million compared to the prior year period. The increase is attributed to higher year-to-date earnings, improvements in networking capital and reduce capital expenditures. Our cash flow generation continues to be an asset to the company. Looking at the chart to the right, it shows working capital as a percentage of revenues decreased based on a four-point quarter average. The business continues to manage working capital efficiently and generate strong cash flow. I will now hand it back over to Dave for some comments on our full year of 2021 outlook.
Dave Petratis: Thank you, Patrick. Please go to Slide Number 12. On October 1, we issued a pre-release to our earnings and updated our 2021 full year outlook for revenue, earnings per share and available cash flow. We are reaffirming those updated outlooks. We have talked at length about the demand strengthened the Americans business as well as supply chain pressures that are having impact on our ability to meet that demand, which will delay an estimated $80 million to $100 million of revenue. The outlook for total revenue in the Americas is now projected to be at 1% to 1.5% with organic revenue growth at 0.5% to 1%. In the Allegion International segment, we have not seen as large of an impact from component and labor shortages. In our SimonsVoss, Interflex and Global Portable Security businesses continued to perform well. For that region, we expect total revenue growth to be between 12% and 13% with organic growth of 9% to 10%. All-in for total Allegion, total revenue is projected to be up 4% to 4.5% and organic revenue is expected to increase 3% to 3.5%. We're expecting reported EPS to come in the range of $4.95 to $5.05 per share and adjusted EPS to be between $5 and $5.10. Our outlook for available cash flow is projected to be $460 million to $480 million. The outlook assumes investment spend of approximately $0.15 to $0.20 per share. The full year adjusted effective tax rate is expected to be approximately 9%. The outlook for outstanding diluted shares is approximately $90.5 million. Please go to Slide number 13. As we close the presentation and move on to Q&A, I want to take some time to stress Allegion’s strong long-term fundamentals. First, even with the disruption caused by the global pandemic, our strategy around seamless access and electronic transformation remains strong. We expect electronic and seamless access solutions to be the future of access control and we are using multiple innovation engines to lead the industry. You've seen proactive work from Allegion through Allegion Ventures, our recent acquisitions like Yonomi and in our Interflex business, accelerating our software and tech capabilities. We're making investments and expanding partnerships with mega techs and leading access control platforms. We're making significant progress on our ESG journey. This is evident with the two awards that we received earlier this month. The Campbell Award given by the National Safety Council is a very prestigious honor and we joined an elite group of previous winners. I'm also proud of the Jackson Lewis Diversity, Equity & Inclusion Champion Award, which we received from the Indiana Chamber, which recognizes our proactive leadership in diversity, equity and inclusion. Congratulations to be Allegion team. All markets in America remain robust. We continue to see positive trends from leading indicators like ABI and the Dodge New Construction Index and expect these trends to continue into 2022. With the International segment, the strength in our SimonsVoss, Interflex and Global Portable Security business persist. We have aligned and adjusted resources to navigate and adapt to supply chain pressures that the world is experiencing. Actions taken including the redesign of products, the development of alternative supply sources and we continue to leverage our pricing power. Allegion’s supply chain will continue to differentiate us and the strength in our backlogs would indicate that our channel partners believe we will navigate through the global pressures [indiscernible]. Demand remains strong. We have implemented pricing actions that will carry forward into next year and there's substantial backlog to work down. With that backdrop and assuming supply chain pressures related to inflation and component shortages begin to ease, we expect solid revenue growth with year-over-year margin improvement and continued strong cash flow generation in the 2022. The future of Allegion remains bright. Now, Patrick and I will be happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Joe O'Dea with Wells Fargo. Please go ahead.
Joe O'Dea: Hi. Good morning everyone.
Dave Petratis: Good morning, Joe.
Joe O'Dea: First question is just related to any visibility you have around the timing of relief from supply chain constraints. You've talked about this extending into 2022, but are you seeing anything out there and based on conversations with your suppliers that gives you confidence in when you start to see some relief?
Dave Petratis: So my first observation, your past records sometimes is a predictor. Allegion performed extremely well through the first phases of this pandemic. Number two is some of the strength of our supply chain adaptability was evident. If we had not adapted, made design changes over the last couple of quarters, our backlog would even be larger. So we feel very good about the performance and the adaptability, flexibility. It's clear the electronics is going to be a problem that all companies, including Allegion, will have to adapt to through 2022. I think an important element of the rest and it's the complexity of the Allegion supply chain is the return of labor pressures to our partner suppliers. This we'll have to continue to monitor. This is everything from castings to power supplies to wire harnesses. There is a labor scarcity across the globe. And again, I believe our ability to adapt and our philosophy to produce in region will help Allegion.
Joe O'Dea: And then related to backlog and catch up and you made the comment about backlog being four times higher than normal, how do you think about managing that? So when you do start to get some relief in the supply chain, do you think about kind of ramping up to deliver to customers as fast as possible, which could then create some inefficiencies in a strained production system? Or do you think about managing that and maybe it takes longer to deliver over time, but not straining the production system in that process?
Dave Petratis: So we've got a lot of experience in production systems, including the man that runs the company, me, 41 years. I think I liked the backlog. I think if component supplies – as if that regains health, we will actually pick up efficiencies. There has been gross inefficiencies through COVID, these supply chains. An important element is our ability to bring on and flux our own labor and I've got high confidence in our ability to do that.
Joe O'Dea: Great, thank you.
Operator: The next question comes from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning everybody.
Dave Petratis: Good morning, Joe.
Joe Ritchie: As you guys talked about clearly lots of challenges in the marketplace today, I know that as you kind of think about the Americas margins being down 500 basis points to 600 basis points year-over-year, our investments of about 100 basis points impacting the margin. Can you maybe parse that out a little bit more for us like do we know how much of it is coming from higher material and freight costs? How much of it is more kind of like the productivity issues? Just any other additional color around that would be helpful.
Dave Petratis: Yes, Joe, so the significant portion of the margin degradation year-over-year is predominantly inflation and freight costs. And then we've got productivity challenges associated with some of the component shortages and those types of things, creating inefficiencies at our facilities. So if you think about it relative to normally we've done a good job in terms of managing the price inflation dynamic, we're underwater today as we kind of look at that price being lower than the incremental material and freight costs that will get better. As we kind of progress here, we're putting in more price increases to make up for the Delta. One of the challenges is kind of given the high backlog and the fact that a lot of the backlog today is kind of price protected. You don't see the benefit of the price increases coming through and offsetting the incremental inflation until going into 2022. So we're still going to be under pressure for the balance of the year, but inflation really accelerated particularly when you look year-over-year on steel components and those types of things. So it's just – it's one of these short-term phenomenons. If you assume that inflation has kind of peaked today, going into 2022 things will kind of continue to get better than we would expect to be in the positive end of the equation as we progress throughout 2022.
Joe Ritchie: Got it. That's helpful, Patrick. And maybe just kind of following on there, as you think about then – it sounds like you're going to be underwater again in the fourth quarter. As you think about like the pricing that you're putting through, do you typically include a fuel surcharge? Or is this kind of like stickier pricing that you expect to get in the 2022 timeframe? And then we've also gotten some questions from investors today around the fact that pricing stepped down on a year-over-year basis if you took a look at the second quarter versus 3Q. So curious like any comments around why pricing was a little bit weaker in 3Q versus 2Q.
Dave Petratis: So on your first question – so we've managed pricing broadly and it's really dependent upon product category, some of our products that are more steel related, i.e., steel doors, those types of things would carry surcharges associated with that, but mostly across the product portfolio is through list price increases is kind of how we manage it, so it's more permanent in nature. The year-over-year Delta, you kind of have to look at it again by product category, a little pressure and some of the discounts, residential, for example, a little bit harder to kind of pass through the price increases. So that's really what you're seeing there. If you, kind of, look at the bulk of our business, commercial, year-over-year price increase.
Patrick Shannon: I'd add to this. Our hollow metal business, list price increases and surcharges, on the general hardware business two price increases in the year and will adapt to the pressures as we go into 2022 and certainly going hard at the residential products as well. And my message here would be in the addition to freight surcharges, we're pulling all levers on price realization. And I think as we get past this momentary surge that occurred in Q2 and Q3 on inflation, we'll continue our discipline around price performance as we move into 2022.
Joe Ritchie: Thank you. That's helpful.
Operator: The next question comes from Andrew Obin with Bank of America. Please go ahead.
Andrew Obin: Yes, hi, guys.
Dave Petratis: Good morning, Andrew.
Patrick Shannon: Good morning.
Andrew Obin: Yes. Just to follow up on Joe's question on pricing, I'm just a little bit surprised by the pricing myself. We did some channel checks with electrical distributors in the markets. Dave, you would know very well, one of the largest players in North America has pricing effect I think sort of policy at this point in order to sort of cleanse out the backlog. I think HVC guys that's selling a lot of similar channels, I think have had like four price increases this year. I mean the industry structure seems to be quite favorable. Why is it so hard to get a price increase through? Or who is being aggressive, particularly you seem to highlight a residential is one player being aggressive, people out of Asia being aggressive, which was surprising because I would have expected they would have difficulties getting stuff on the boat. Just maybe a little bit more color there. Thank you.
Dave Petratis: So, I'd give a completely different perspective, Andrew. I know the electrical quite well. Think about the amount of electrical pipe, wire and distribution gear that goes in, in the first six months of a construction project, we'd submit our quotes get orders at the same time. And that – those products are delivered at the end of that cycle. When we put a quote, that's carried for a period of time, but we honor that order and so we eat that inflationary pressure. The cycle for the electrical industry is much faster than ours. We've been aggressive on the price increases as well as surcharges and it's not apples to apples. We're both in new construction. On new quotes and bids, we're really raising the levels every day. And I hope that color maybe helps you understand leading products, the electrical versus lagging products on the hardware side.
Patrick Shannon: I'll just add, Andrew. It's not a question of realization. In other words, we'll get the price increase. It's more of a timing issue. So, you will begin to see sequential improvement beginning Q4 relative to the price increases we put in the market. And that will continue to accelerate into 2022, year-over-year and sequentially.
Andrew Obin: In 2022, you'll get some of the benefit of these 2021 price increases. So you'll get it, but later.
Patrick Shannon: Yes.
Andrew Obin: Got you. And just a follow up question, just a difference in performance between North America and I guess international, which I sort of think mostly Europe, as I think about your brands, Interflex, I guess it is mostly software, but it does have electronic components if I think about I guess CISA is the one that's purely mechanical, but on SimonsVoss, which you've highlighted also has large electronic component. Why are you able to avoid the kind of disruption related to electronic components and labor in Europe that you experienced in the U.S. because I would imagine the electronic components in Europe are also getting sourced in Asia? Thank you.
Dave Petratis: So electronic components tight in all sectors of the world, the differences between SimonsVoss a lesser extent and Interflex and the core business in the Americas is pure suppliers. We had designed around the Americas Texas Instruments, NXP, Texas both have had their supply chain issues. The European products more around a different set of suppliers and it's those differences. And the adaptability important here many of the newest Allegion products that drives battery efficiency, WiFi connectivity that makes us the leading products in the world are closer to the supply chain challenges in the Americas than they are in Europe.
Andrew Obin: Got you. I appreciate it. Thanks a lot Dave.
Dave Petratis: You're welcome, Andrew.
Operator: The next question comes from Brian Ruttenbur with Imperial Capital. Please go ahead.
Brian Ruttenbur: Yes, thank you very much. My first question and I'm sorry to keep asking about price increases, but I'm going to ask one on that and one on – a follow-up on a different subject, but the first is on price increases. Can you say specifically how much you've increased prices? ASSA has gone up about 15% multiple, in total, this year. NAPCOs said that 3% they've increased. What have you increased so far this year and what do you plan to increase on the year?
Dave Petratis: I would say, again you have to look across the different product sets, so it varies. If you're looking at all price increases, i.e., what we talked about there's list price, there's surcharges, there's things related to freight those that have heavier steel related i.e., steel doors those types of things would carry a much higher price increase realization than your traditional products, locks and exits, closers, those types of things. So, list prices for the year would be with both price increases north of 6% with more to come in the future.
Patrick Shannon: I think you also got to include the surcharges on top of that, and this is a big end in our quote activities, we apply discount schemes that give us the ability to rise price based on the project. So again, I feel very good on our pricing analytics. There's that gap in the backlog that we may have quoted over a year ago. We honor those firm orders and they're delivered sometimes over the periods of years. And as we move into 2022, we'll reassess this again and be early and aggressive to make sure that price continues to cover our input cost as we've done since the creation of the company.
Brian Ruttenbur: Right. And then just as my follow-up real quick on – off just real quick maybe you make a comment about their move with HHI from Spectrum and how you anticipate competing on that. I know we've spoken offline on that, but I want to just hear what you think – how that's going to impact Allegion moving forward.
Dave Petratis: So you never want to see your number one competitor or market leader gets bigger. Rest assured that we also looked hard at the Kwikset HHI assets over the years. And I think if you really step back and study the dimensions of Kwikset and how they performed under HHI, I believe also will actually bring a level of discipline to the market. It's certainly our great Schlage brand, the Kwikset brands. There's plenty of room to compete and we've met this challenge I think credibly over the last several decades. Schlage in terms of its electronic leadership, if you look at consumer reports electronics that I think was published in April of this year, three of the top eight walks are ours. We're the number one replacement walk and it's going to be continued competition against two world leaders.
Brian Ruttenbur: Thank you, Dave.
Operator: The next question comes from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi, good morning. Maybe just my first question is perhaps on the demand outlook, which hasn't really been touched on yet. I remember in that upcycle in U.S. non-res in sort of 2006, 2007 and 2008, that upcycle in terms of projects did suffered some headwinds because of cost inflation and labor led developers to delay in projects and so forth. And so you had these kinds of rolling push outs and delays. Just wondered what your perspectives are on the risks of that type of phenomenon recurring in the current environment when you're talking to developers looking at your quote activity and so forth.
Dave Petratis: I'd say, each bust and boom cycle sets its own history. We're still living this aspect of it, but as I reviewed the macro demand factors, our backlogs and then recent travel, I would think I was in five states last week. The sentiment that I feel, see and, and living here every day at Allegion is I'm extremely positive. I think we've got three solid years ahead of us as I think about the strategic planning period, working through the supply chain issues, I think there is key infrastructure needs and we have a housing economy that's significantly under inventory for single-family homes, which also is a generator for commercial and institutional development. So, I packed out all together in borrowing another disruption. I liked to go ahead in terms of the business conditions for construction and for Allegion.
Julian Mitchell: I see. So you have not seen major projects being deferred or postponed?
Dave Petratis: We track cancellations and I'd say it's at a normal level.
Julian Mitchell: That's helpful. And then just a quick follow-up, I'm trying to wrap together your comments on pricing. If you look at your sort of your operating income bridge that line for inflation in excessive pricing and productivity, obviously it's been negative for a couple of quarters now. When you look at the margins in the backlog and the pace of completion, should we assume that that line can go back to sort of breakeven sort of third quarter of next year? Is that the rough timeline?
Dave Petratis: I would – at – Q3 next year is sort of positive is what I would anticipate basis of a constant inflation relative to what we're seeing today in terms of no further increase year-over-year. But the Delta, i.e., the gap between price inflation improving up until that point, so the rate of change will get better as we progress.
Patrick Shannon: Julian, I'd also add as we – as you and I think about that backlog, if some of the highest margin products that we produce, electronic locks and exit devices are elements, heavy elements of that backlog, the exit devices, heavy complexity, which we – the supply chain pressures create some challenges in that, but those supply chain pressures will improve. The mix of that will roll through. In addition to the price increases, I like our opportunities going forward.
Julian Mitchell: Great. Thank you.
Operator: The next question comes from John Walsh with Credit Suisse. Please go ahead.
John Walsh: Hi. Good morning.
Dave Petratis: Good morning.
John Walsh: Maybe just to follow on Julian’s last question there. If you look in your bridge, I know it's called the volume and mix, but it was a headwind year-over-year, but you actually had non-residential declining less than residential in the Americas. So maybe it has to do with the mix within non-res. And you talked about some of your higher margin products now growing backlog, but we'd just love to unpack that a little bit, why the mix was negative despite non-resi growing better than residential, at least on a relative basis?
Patrick Shannon: Yes. So you hit on it. It's really within the product portfolio of non-residential products. As Dave indicated high margin products being impacted more and that's kind of what we're seeing it in the backlog due to shortages of components. And so it's really within the non-residential business that you're seeing a mix element, given that non-resi was higher than resi for the quarter.
John Walsh: Great. And then I'm going to take a stab at this. I think earlier in the year, you kind of pointed international margins up low double digits. Obviously, you've seen really good progress there through the year. You've given us the mid point of your guide, a lot of other information. It does seem like that implies the Q4 Americas margin kind of steps down more than seasonality would assume in Q4. And also just thinking about the decremental still being pretty challenged there, any color you can help us on how to think about that from the model perspective or I'll just leave it there, however you'd like to help us out with that sequential decline implied?
Patrick Shannon: Yes. So kind of we touched on it a little bit earlier. It's predominantly given the price inflation dynamics still under pressure. Some of the inefficiencies from a productivity standpoint, we'll continue given the component challenges supply base that's really the – you are going to see some decrements sequentially. But then as we kind of continue to move into 2022, you wouldn't see obviously that a big of a change in the first part of the year and then approving certainly in the back half.
John Walsh: Okay. Thank you. Appreciate it.
Dave Petratis: Welcome.
Operator: The next question comes from David MacGregor with Longbow Research. Please go ahead.
David MacGregor: Yes. So good morning, everyone.
Dave Petratis: Good morning.
David MacGregor: Patrick, you've made reference a couple of times now to the expectation that maybe inflation is peaked. And I guess I'm just interested in what gives you confidence that would be the case. Have you provisions in place through some of your procurement agreements that lock pricing now or hedges that are in place to give you the confidence to say that. But if you just elaborate on that side, so I appreciate it?
Patrick Shannon: So that's kind of the commentary was more around kind of our assumptions right now. I mean, if there's continued pressure in the marketplace to some of the component challenges, then that would certainly put pressure on our assumptions as we look forward to 2022. But if you kind of look at some of the forecasting information relative to steel and those type of things, the expectation is, is that as we go into next year, it starts to alleviate itself and maybe trend down. And that would be positive to what we're thinking today.
David MacGregor: Can you just remind us what – how much of your businesses is walk up with annual contracts or supply agreements versus spot purchases? You can elaborate on that a little bit…
Patrick Shannon: A small portion that it's mostly on raw steel. We kind of look forward and we've got some arrangements with some of our supply base that has fixed rate agreements. Those then kind of fluctuate basis on changes in the market on a forward basis. And so it's small. A lot of our supply base is indexed to steel, if you will. And so it's really just on the purchase of raw steel, which is a small component relative to our overall purchasing.
David MacGregor: Okay. Thank you for that. And then just as a follow-up. You just talk about installation labor and the extent to which that may be a sort of frustration at this point, or how you see that developing as a potential bottleneck or impediment in 2022?
Dave Petratis: Some broad comments on labor. And it's from a general labor through the trades to professionals. Labor is tight, professional help on a worldwide basis. Second, when you look particularly at construction labor, the gap has grown. Skilled trades were a problem going into the pandemic. The problem has widened slightly. In my mind extends cycle times for construction projects and snowplows, what I think are strong business conditions well into the future.
David MacGregor: Would you consider it all investing in the development of that labor for the market, as a means of alleviating that constraint?
Dave Petratis: We are investors. I will get off the phone here today, and its manufacturing month in the United States. Allegion plays a very active role in promoting our industry, leading culture, diversity opportunities, tuition reimbursement programs, healthy lifestyle, to attract people and have done it since the creation of the company, number one. Number two, I think manufacturing, I'm extremely proud of is a great place to develop talent and we will make investments in our wage structures to continue to keep Allegion as the best employer with wages and benefits and the communities we operate around the world.
David MacGregor: Thanks David.
Operator: The next question comes from Tim Wojs with Baird. Please go ahead.
Tim Wojs: Hey guys. Good morning.
Dave Petratis: Good morning, Tim.
Tim Wojs: Maybe just dovetailing off of David's question there, could you just – when you think about the new non-resi cycle and how investors should kind of think about it? The leading indicators have obviously been really robust over the last seven or eight months. How would you think about converting those cycle? It was kind of leading interiors into revenue for you guys? I mean, are those new construction projects that could contribute to you in the second half of 2022? Or do you think at this point it's probably more prudent to think 2023?
Dave Petratis: I think you've got to take the strong cycle and as I look at the macro indicators that you did positive, you've got to lay on that backlog, which will take the better part of six, seven months for us to eat through. And I think extremely robust I see education, I see health care. I think you've also – I've always been concerned about commercial, extremely positive in terms of the macro. There's lots of money on the sidelines to go reinvent this commercial real estate and the new office of the future. So as I look at education, healthcare, commercial, even multifamily is honing longer. And I think investment is going to come in needed infrastructure. We could get an infrastructure bill. So as I look at that, Tim, I like it for the next three to five years.
Tim Wojs: Okay. Okay. And then maybe more of just a modeling question. So you guys outlined that the split on the deferred sales, I think was kind of even between Q3 and Q4, but I think if you just kind of roll that into the model, I mean, there's a bigger think you're down double digits or that's the implication in the fourth quarter versus down maybe low single digits in Americas in Q3. So, any perspective there you can kind of add as to why that is? Is it just seasonality comps?
Patrick Shannon: Yes. Seasonality comps, the component shortages plus – last year, you may recall what the rebound in a residential business and it was coming out of COVID, there was channel refill in the business, right. Restocking the shelves on retail and e-commerce and so that’s certainly had a fairly significant impact on last year. So you're getting into a difficult comp as relates to our residential business.
Tim Wojs: Okay. Okay. Got you. And then $80 million to $100 million of deferred revenue, I mean, how does that kind of come back next year? I mean, is it – is there some sort of burst that kind of happens and you kind of convert that in 2022 or is it just kind of result in a little bit of a longer cycle?
Patrick Shannon: No. I think you need to think about it depending on the flow of components and labor, it's a tailwind as we roll through the year. And in a manufacturing environment, you can step up about 20% just by working Saturdays. You need to kind of think about it. If I go to Sundays, I get 40%, people don't work seven days a week for six months. You got to think about, it will step up. It's a tailwind, barring if you get – if we get improvement in components, both electronic and general components, we're going to see that as a tailwind as we roll through the first half of next year. And if the component situation and labor improves work about and gain more share.
Tim Wojs: Okay. Okay. Good luck on the rest of the year, guys. Thanks for your time.
Dave Petratis: Thank you.
Operator: The next question comes from John [ph] Pokrzywinski with Morgan Stanley. Please go ahead.
Unidentified Analyst: Hey, good morning guys.
Dave Petratis: Good morning.
Unidentified Analyst: Dave. So electronics are 20-ish percent of the business, probably a little more than that now. The $80 million to $100 million that you talked about does sound pretty biased to 4Q and I guess what precipitates out of that is it's pretty high percentage of electronics like that virtually electronics going to zero, or how should we think about the split of that headwind between the electrified product versus the mechanical products?
Dave Petratis: I'd say 40% electronics, 60% mechanical. I'd also, I think you've been in our factories here in Indianapolis complexity when things are common right is our friend. We'll make 2200 variations of the Von Duprin exit device today. And any one of those components in shortage, whether it's a casting, a wire harness as a power supply and electronic board puts pressure on that supply chain and that's what we're living today and confident in our teams to work through it. Remember too, it's not necessarily my ability to put labor in the seat. It's also my supply chain. We pulled hard on redesign shifting over a 100 engineers to redesign predominantly boards but other components. And the second thing I’d say is our flexibility, we've offered to put our people insights to help strengthen our supply chain vendors. And I share that example just because the labor thing goes across transportation, supply chain, getting in through the ports and a level of complexity that I've maybe never seen in my 41 years.
Unidentified Analyst: And then just thinking about the – kind of the unwind of this current tightness. I think an earlier question asked about trade labor, is that the biggest governor of how much the business can grow next year to the teams like you have the ingredients, the demand is there maybe a bit more backlog than usual? It just how quick can we get, installers both on new construction and retrofit is that sort of the KPI that we should be focused on?
Dave Petratis: I think I would describe it Josh, is there's pacing constraints and labor from the design phase. We just saw a record ABI through the installation phase and I think projects will have longer lead times in an environment that's extremely positive in terms of their willingness to invest.
Unidentified Analyst: Got it. Thanks.
Dave Petratis: You're welcome.
Operator: The next question comes from Chris Snyder with UBS. Please go ahead.
Chris Snyder: Thank you. Thank you. So my first question is on the deferred $80 million to $100 million of revenue, seems like the majority of this is coming from the Americas. In your previous commentary, I think, said that it could take six to seven months to work through this elevated backlog and I think the ability to ramp manufacturing 20% by working Saturdays, I think kind of suggests that this could be realized this $80 million to $100 million in 2022. And obviously, I know there's some uncertainty around the ability to source components. But I guess is that reasonable to think that this could be realized next year, because it's a pretty substantial kind of mid single digit tailwind to the Americas segment.
Patrick Shannon: As you think about 2022, the backlog will be a tailwind, constrained by availability of electronics. That tightness will run into 2023 and then the overall labor. We see – I don't know if you ever, it's an industrial game we call the beer game, bottlenecks move. There's bottlenecks at the ports, there's bottlenecks in labor. These things are going to be moving throughout the year, but my fundamental belief is Allegion has a superior ability to navigate the nation and the world will navigate it. And we'll see these things ease as we go through. And it's a tailwind to push that backlog through.
Chris Snyder: I appreciate that. And then, second question on resi, it sounded like from the prepared remarks that there may be with some demand softening in the quarter. I think you guys called out do-it-yourself or DIY slowdown. So I guess my question is, was this maybe the resi softness part of the second half of revenue cut. And I guess, is there any reason to think that this gets better in 2022, as it seems like that could be more demand related than supply chain related?
Dave Petratis: So again, I want you to think about that demand game, the supply chains on resi for all supplier was heavily disrupted in 2020. We were shut down for 15, 16 days. You had a demand surge, and this is very evident from the Big Box, Home Depot, Lowes reports in terms of increase investments and do-it-yourself projects. And then you had also housing picking up pretty rapidly that created a demand surge as we started coming out of the lockdowns record backlog in residential, which we have worked through. So I look at overall demand for resi as we move into 2022 is net positive. Based on continued starts of new construction, solid repair and replacement and good multi-family. So that whip is going on the supply chain. Make sure you think about that in your model, because I think a year ago, I'm sitting here talking through record backlogs in residential. We worked through that and I would suggest if you look at our performance versus our competitors that we gained share throughout the last eight quarters.
Chris Snyder: I appreciate that. Thank you.
Operator: And the last questioner will be Ryan Merkel with William Blair. Please go ahead.
Ryan Merkel: Hey everyone. Good morning.
Dave Petratis: Good morning.
Ryan Merkel: So I wanted to follow up on the timing of supply chain getting better. Is it fair to say that margins are bottoming in the second half of 2021, such that as we get into next year, you could see margins increase year-over-year, or is that maybe more of a second half 2022 events?
Patrick Shannon: Probably more back-end loaded, but feel very confident. If you kind of look at the moves we're making on price, again, assuming inflation is peak. I mean, that's still a question mark, right? But I feel very confident relative to pushing through the backlog, getting some efficiencies that are factory productivity, these types of things. We will have margin incremental improvement in 2022 compared to 2021. No doubt in my mind.
Ryan Merkel: All right. That's helpful. And then just stepping back maybe this question for David, but can you discuss the adoption curve for electronic? Is it faster now and also how are your customers rethinking access control in this new environment?
Dave Petratis: Electronic access, electronic locks, the power of your edge device and its ability to interact with secured access is a powerful trend that will positively influence this industry for the coming decades. The electronic adoption is what I would describe as high single digits in normal times or pre-pandemic we've been able to deliver on that growth at mid, or excuse me, low single digit or low double digit gross of market growing high single digits. We're in a normalized time low double digits. So a clear trend you can see it in your everyday life. The overall market's still, there's 40 billion openings in the world less than 10% of those integrated. So bright for our industry and bright for Allegion.
Ryan Merkel: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dave Petratis, our Chairman, President, and CEO for any closing remarks.
Dave Petratis: Thanks for your questions today. I also want to thank our employees for their continued commitment, steadfastness in navigating the challenges over the last 22 months. Some final messages. Allegion remains a white house for our safety performance and our ESG advancements. Demand in our business remains robust and leading indicators are positive. Supply chain constraints, labor availability, and inflation are challenging. I'm confident in Allegion supply capability, adaptability to be strong, and the long-term fundamentals of Allegion remains bright and strong. Thank you for your time today. Have a safe day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.